Operator: Thank you for joining Gold Resource Corporation’s Third Quarter Conference Call. Mr. Jason Reid, CEO, will be hosting today’s call. Following Mr. Reed’s opening remarks, there will be a question-and-answer period. As a reminder, today’s call is being recorded. Please go ahead, Mr. Reid.
Jason Reid: Thank you. Good morning, everyone, and thank you for joining Gold Resource Corporation’s 2015 third quarter conference call. I expect my comments to run approximately 20 minutes, followed by the Q&A. Joining me on the call today for the Q&A portion will be Mr. John Labate, our Chief Financial Officer. Let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our Annual Report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued yesterday, along with the comments on this call are made only as of today, November 4, 2015, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures referred to in our remarks in our Form 10-K filed with the SEC for the year ended December 31, 2014. The company saw improvements during the third quarter in mine development, water management and mining conditions, which were all prior second quarter challenges. However, overall production for the third quarter was less than targeted largely due to the lower than projected grades and higher mining dilution sustained primarily during the month of August. Before I walk you through the third quarter narrative and what we plan to do in response, let's break down the third quarter production numbers. Third quarter production from the Arista Mine totaled 6,825 ounces of gold, 561,985 ounces of silver, 343 tons of copper, 1,114 tons of lead, 3,499 tons of zinc before payable metal deductions. Calculating the gold and silver as a precious metal gold equivalent, we produced 14,133 ounces at a realized 76.9 to 1 silver to gold ratio. We milled an average of 1,143 tons per day or 105,309 total milled tons for the quarter. Our total cash cost after base metal byproduct credits per precious metal gold equivalent ounce sold and including royalties totaled $603 per ounce. Our all-in sustaining cash cost per ounce on a non-GAAP measure for Q3 totaled 1,044 and our total all-in cost per ounce sold totaled 1,334. Higher quarterly costs were a function of lower production totals. During the quarter, we sold 6,220 ounces of gold, 503,929 ounces of silver, 332 tons of copper, 1,049 tons of lead and 2,905 tons of zinc. Average Arista Mine grades and recoveries for Q3 included gold grade at 2.25 grams per ton with 90% recovery, silver grade at 180 grams per ton with 92% recovery, copper grade at 0.41% with 80% recovery, lead grade at 1.14% with 75% recovery and zinc grade at 4.02% with an 83% recovery. We generated revenues. Our revenues are net of smelter charges of $19.4 million. We generated mine gross profit of $4.4 million and sustained a net loss $469,000 or $0.01 per share. Our Q3 average metal prices realized were $1,115 per ounce of gold and $14.50 per ounce of silver. We distributed $1.6 million in dividends to shareholders or $0.03 per share during the quarter. Cash and cash equivalents at June 30, 2015 totaled $14.1 million and we had receivables of $1.9 million. The company remained debt free except for short-term capital equipment leases of which we paid down $378,000 during the quarter with the remaining capital equipment lease total of $1.2 million as of September 30, 2015. The company paid $1.1 million in income taxes during the third quarter. During the first three quarters of 2015, the company's production numbers totaled $21,960 ounces of gold, $1,932,611 ounces of silver, delivering approximately 93% of gold and 87% of silver, respectively year-to-date against the low end of our range for the company's 2015 outlook, which was originally set at 31,500 ounces of gold and 2.97 million ounces of silver at the beginning of the year. The company recently revised its 2015 outlook to 29,700 gold ounces and 2.5 million silver ounces. The revised annual production range represents a reduction to the low end of our regional 2015 outlook by 6% for gold ounces produced and 16% for silver ounces produced. Production during the quarter-to-date has thus far delivered within expected parameters. Our base metal production year-to-date particularly in zinc has exceeded our expectations, which offset some of the revenue loss from our silver production shortfall. Turning to our operations, during the third quarter we mined primarily from 8 to 10 separate veins. During the quarter, particularly in the month of August, we sustained head grades much lower than the mine plan estimates and we sustained higher than expected mining dilution. Because of these two factors, fewer tons were delivered to the mill for processing than we had planned. But we did see higher grades than estimated in a few veins mined in August such as [00:06:45] Overall, August production grade and tons were lower primarily in Splay 5 and Splay 6. Production for these veins was lower in grade than the plan as a function of mineral variations in a particular drop points of each vein and excessive mining dilution. It is not uncommon for underground mines to have great variations that both exceed or fall short of the block model in the mine plan. During the month of August more veins fell short on grade and/or were excessively diluted. The month of September delivered a rebound in production and that we tried to make up some of the loss ground, our overall production was short of plan for the quarter. In addition to the grade variations, unfortunately during the quarter, some tonnages mined according to plan, but when assayed prior to mill delivery, they failed to make the net smelter return economic cut off and were sent to the waste piles, underscoring mining dilution and grade variation in those particular headings at that time. Had this not occurred, we would have seen more mill times processed during the third quarter. As we look at the fourth quarter, October production has thus far delivered within expected parameters and we are optimistic, November and December production should also follow within budgeted parameters. On our short, medium and long term plans aimed to address production inconsistencies. Our short-term plan includes adjusting our mine plan to rely less on veins like Splay 5 while relying more on veins like Baja and Vein 3 for the remainder of the year. Our medium-term plan is in respond to dilution and in efforts to be more efficient. We are in the process of adding back a few specialist miners. For example, many with shrink stopping expertise which we have lacked as a company to efficiently target veins at the pinch. At my direction, the company underwent two substantial manpower reductions during the last two years. The reductions were in response to the ongoing bear market and continuous declines in average metal prices and targeted lower operational costs. I arguably stretched our underground mining team a bit too thin. By selectively adding back specialist miners to key areas of our mine team we expect to relieve some of the strain on our underground operations while increasing efficiencies and lowering dilution. A decrease in mining dilution reflected in higher head grade should more than outweigh the cost increase of selectively adding to our mine team. We plan to continue to operate very thin in other areas of our operations to keep costs in check. As a single mine operator, we see the effect of a tough month drastically impacting a quarter's production totals as we sustained in the month of August. A multi-mine company has some latitude to adjust several operations to smooth out the tough months. This underscores some needed longer-term plans that are underway to limit monthly production volatility in the future. As many of you are aware, early on as a company we chose to expedite our evolution from an exploration company to a production company by driving our mine development directly to the Arista veins and started mining with minimal mine development as a means to reach cash flow much sooner and limit shareholder dilution. That plan worked well and we have a very tight capital structure today to show for it. We reached production arguably year sooner than had we gone the typical industry route, but more importantly we reached production and cash flow before the bear market hit our industry. The other edge of that sword is that we have been living mostly hand-to-mouth ever since as it relates to production. Variations in vein width and mineralization and epithermal systems are difficult to adjust to and hard to smooth out while on our production profile living hand-to-mouth. Our long-term plan is to change this way of operating and our opportunity to do so is right in front of us at the Arista Mine’s switchback veins. The Arista Mine switchback vein system is located 500 meters to the North East of the Arista vein system. We continue to deploy capital and develop our access ramp from the Arista veins to the switchback veins and are closing in on reaching switchback. I'll go into more switchback development progress in a moment. My point here is this. We could take the same approach to switchback as we took at the Arista and start mining switchback immediately with minimal mine development and start stopping as soon as possible. But that would continue the hand-to-mouth production challenges we face today. Instead of taking that approach, we have the opportunity to take the time to develop the ore blocks that switchback on multiple levels so when we pull the trigger on stopping switchback mineralization, we will have numerous areas and levels to draw from and can adjust the fluctuations in the ore body both in grade, vein width and tonnage with production optionality, the likes of which we have never had as an operator. My goal is to have at least 1 to 2 full years of Switchback mine development before we throw the switch so to speak on Switchback long haul open stoping and cut and fill both tonnage and mining methods. Looking at how this approach could impact the company in the medium term, keep in mind that in addition to all the ongoing Arista mine development we continue to do on the Arista veins, we are also deploying capital and bearing all the costs of mine development toward the Arista mine Switchback veins with no return on our Switchback investment yet. When we cross cut the Switchback veins and start multilevel development, presumably during the first half of next year, we plan to prepare numerous levels for future stope mining. While doing so, the development ore from preparing ore blocks for future stoping can be sent to the mill to help supplement mill feed for our production and importantly, generate cash to see a first return on our invested capital developing the Switchback portion of the Arista mine. Revenue generated from processing Switchback development ore should help offset the cost of continued Switchback mine development. This plan targets medium-term relief to our capital expenditures and should take some pressure off our cash flow relating to Switchback. More importantly, for the long-term, by taking the time to develop multiple ore blocks on numerous levels before pulling the trigger on bulk tonnage stoping, this plan targets to set the company up for production optionality and flexibility that we have never had before. It is not uncommon for miners to take a year or more developing a deposit before mining it and we are now in a position for the first time in our history to do just that that at our Arista mine with Switchback vein system development. The goal is to put the company in a better portion to adjust to monthly variables, smooth out production hiccups and better forecast our operations. This plan will take some time to implement, but as I see it, it is part and parcel the evolution of our operation. We plan to utilize this opportunity to develop Switchback veins, while the primary mining focus will remain on the Arista veins and their currently projected three-year mine life while we target to extend mineralization of numerous veins from new drill stations better able to target untested areas for potential expansion at both the Arista and Switchback vein systems. In addition, we continue to move our Alta Gracia property toward production, currently in the permitting phase, as we finalize local community agreements. If and when Alta Gracia comes online with supplemental ore feed in the future, it should provide additional optionality and flexibility within multi-mine approach so that we are less susceptible to the impacts of the aforementioned variables in this challenging industry. Arista mine development and water management was greatly improved during the third quarter, which was a welcome contrast compared to the challenges of the second quarter. At the end of the quarter, the main ramp advance toward level XXI, new pump stations on level 19 and 20 are being excavated to help manage water at the Arista veins and to prepare for expected future water management needs as we develop the Switchback vein system. Coming back to the topic of Switchback development, we have effectively reached our goal with the ramp advancement from the Arista vein system to the Switchback vein system. We are finishing the construction of the third Switchback drill station in preparation to position the drills for the next campaign. Last week, I stood the access ramp space, which has advanced to approximately 50 meters from the Switchback veins and it is exciting to be closing in on realizing a return on capital for all the investment to access this new area of the Arista mine. The next drill campaign will test the extensions of the Switchback veins as well as target internal drill holes of previously defined veins. We're working with SRK engineering to advise and assist us with the installation of water monitoring devices to be installed in the exploration drills field during this drill program. This water monitoring program is targeted to help us identify and prepare for water management once we cross cut the switchback veins with mine development. After the initial water management analysis is complete and pump stations are in place, we plan to cross cut the first of numerous Switchback veins and begin mine development, again targeted early next year, subject to the outcome of the water management analysis and requirements. Turning to exploration, a total of two exploration drills were active during the quarter at three of the company's properties with one surface drill and one underground drill. Third quarter exploration drilling from surface took place on our last Margaritas property, Alta Gracia’s property and La Blanca prospect on the [indiscernible] project. Underground drilling focused on the Arista and Switchback veins at the Arista mine. Exploration efforts during the quarter were very successful with arguably the best drill intercept return to date from the Switchback veins. On the back of the exciting second quarter Switchback drill intercept of 15.64 meters of 2.85 grams per tonne gold, 169 grams per tonne silver, 0.52% copper, 1.6% lead and 10.16% zinc, third-quarter drill results topped that intercept with 15.22 meters of 3.18 grams per tonne gold, 292 grams per tonne silver, 0.87% copper, 1.56% lead and 4.26% zinc. Based on our experience to date with Arista vein system drill intercepts, we see similarities with these high-grade Switchback vein system intercepts. As the Switchback mineralization expands with high-grade intercepts like these coupled with targeted mineralized extensions of the Arista vein system, we hope to be pulling ore from our Arista mine for a long time to come. With a soft quarter production, the continued decline in the metal prices during the quarter and continued allocation of capital for programs like advancing Switchback development, we continue to feel the strains in our capital like we have been feeling since the downturn in the mining space started years ago. Our focus remains on production, continued cost-cutting measures and deferring some costs into next year, where possible. We are finalizing the piping on the completed new Phase 3 tailings facility and are happy to have eliminated the big capital demand that project required over the last year. Having seen the new tailings facility expansion last week, I'm pleased to report that project was a success and our team overcame many challenges over the last year on this project, while waiting on permits and executed well on the construction of the facility. With this nearly $5 million CapEx project complete, we expect our overall capital expenditure level to decrease for the remainder of the year. We have also decreased our surface exploration drilling budget by approximately $600,000 though we do plan to continue to drill from underground, expanding our Arista and Switchback veins. We continue to push substantial cost reduction measures, including the power grid program aimed at lowering our energy cost, which is our second-highest cost after manpower, the new port facility program aimed at lowering our trucking costs and remain optimistic we will be able to execute on one or both of these programs next year and we remain focused on tight cost control measures to help conserve during this continued bare market. As the bare market remains, we are continuing to evaluate potential M&A opportunities. We are looking globally for additional property opportunities, which we limit to miner friendly jurisdictions and are optimistic we may find additional opportunities we can capitalize on. To wrap the third quarter review, soft production totals required immediate revision downward of our annual gold and silver production outlook, particularly in silver when positive as the base metal production particularly in zinc is exceeding our expectation and base metal revenue should help offset some revenue loss from silver. Production during the fourth quarter has thus far delivered within expected parameters. We are implementing short, medium and long-term operational plans to address operational efficiencies and extend the mind development for future production. We continue to adjust our operations to respond to the bare market in the metal space. We continue to deploy substantial exploration capital and have seen exploration success during the third quarter, of which we are excited to follow upon with additional drilling and Switchback in the very near future and we continue to deploy capital advancing mine developments to access the Arista mine’s Switchback vein system. We are looking forward to accessing the veins with mine development early next year to help offset the cost sustained in advancing the mine as we close in on seeing a return on capital for Switchback development. With that, I would like to thank everyone for their time today on this call. Let’s move on to the question-and-answer portion of the call. In an effort to efficiently address the Q&A portion of the call without wasting anyone's time and since we don't scream, filter or limit who can call in, any distracting or antagonistic call will be terminated and I will simply move on to the next productive caller’s question. I would again like the welcome our CFO, Mr. John Labate who is appointed to the position this past September. John has proven to be an exceptional addition to our management team these past five months and we are pleased to continue working with John on a long-term basis. I’m sure many of you noticed we filed early the last two quarters under his watch. Operator, please open up the lines for our Q&A and take our first caller and question if there is one.
Operator: [Operator Instructions] And we'll move to our first question.
Unidentified Analyst: Hi. I'm a stockholder, primarily for the dividend and wanted to ask a few questions. It looks like you guys earned about 5 million to 7 million in cash in the third quarter and had about 14 million left in the bank. How many quarters more can you guys continue to pay the dividend and then also can you give CapEx guidance for Q4 as well as 2016 and then when we will see a revised resource statement and how many obstacles are located in the Switchback deposit? Thanks.
Jason Reid: Okay. Had a lot of questions there. What is your name?
Unidentified Analyst: Sure. It’s Clay Jones. I'm an independent investor.
Jason Reid: Clay Jones. Okay. Clay, thanks for the questions. I tried to jot down many of them, you first started up by referencing our cash position now that fluctuates, we’ve seen it go down I think last year to 10 million and back up. Our cash position varies dramatically quarter-on-quarter again, based on what we have going on, the CapEx spend, the dividend, taxes, all these things constantly come to bear on cash in any one particular point in time. We have and I'm sure you have noticed this last year we spent over $22 million in the last nine months on investing activities in large part, the tailings, the mine development towards Switchback, the exploration drilling. We have deployed a lot of capital to advance this company forward during a very difficult time in the market where most companies are pulling back their clause. So I'd like to highlight that first and foremost. As it relates to the dividend, how much longer we can pay that, we make no guarantee on the dividend and never have. We’ve paid consecutive monthly dividends for five years now and I remember the criticism we took when we paid for first, second and third dividend. People thought it was one off gimmick, after five years of consecutive monthly dividends, I think we have shown that if we can it we will but I made no guarantee, we made no guarantees on that dividend. It’s a balancing act, it’s very difficult and it’s something that we put on the forefront as trying to do but if we can’t and we need to deploy that capital elsewhere we reserved the right to do so. Obviously I can’t speak more to that, I mean if we modify we modify it, but people take us very seriously after five years of consecutive monthly dividends that if it can be done, we’ll do it. Another one of your questions is when are we going to see revised report on the proven and probable, early next year is probably similar to the timeframe that the second one came out with. The proven and probable report is primarily for the investor. We were in production for three and a half years without it, and we do a lot our own internal studies, and we didn’t need it. We knew we had to backfill that and we did that. We came out with our first one two years ago and then this last one basically replaced all the tonnage that we mine the first report. And our goal would be to replace the tonnage again this year that we mine for last year. But I want to point out on the proven and probable that for the first time we're now bringing in mineralized materials from some of these other areas like Alta Gracia and Switchback. I expect when we touch the Switchback veins, our VP of Exploration, Barry Devlin wants to be touching these veins before we stick a PMP on them and we have a substantial number of tons already in the mineralized material category, but once we're touching these we should, I mean I'm very optimistic that we’ll bring a lot of those into the fold, that's not going to happen in this next report, but the following year, I'm very optimistic that we are going to be in the developing at that point of time and that should be very positive news as well. You had another question in there and you're going to have to help me remember what that is?
Unidentified Analyst: Sure, not a problem. The Capex Guidance for the fourth quarter as well as 2015?
Jason Reid: We don't typically break out guidance on CapEx especially in metals market. Our game plan going into every quarter changes by the end of every quarter as a function of where metal price keeps falling. And so over the last two years the metal prices are falling consistently. So that changes your game plan every single month, every single quarter, so I don't to give specifics of that but I do want to try to shed as much light as I can on it. And that is one of the biggest Capex this year was a tailings facility, it took all year and it was constant drain on our capital. That's done, I was down there last week, it's beautiful. And now we're just finishing the piping for it and effectively there is no more Capex for that. And that will hold another two years. Next year, as it means to consider cash, I don't want to go with the next list, I'm going to wait the following year for the construction of the next list on that particular dam. So I don't expect additional Capex for that big project even next year, let along the balance of this year. We've also in a cash conservation mode as I mentioned on the call, stopped surface exploration drilling in the order of magnitude of $600,000. We will continue to drill underground. We are looking for cost cutting measures right and left. But the Capex just to reiterate and underscore and I’m not avoiding your question whatsoever. Our Capex various month to month based on where the metal prices keep beating us up and we have to adjust our game plan accordingly. There was one other question, I think you had five questions for me.
Unidentified Analyst: No, that's okay. I'm actually off that this was very helpful. Thank you
Jason Reid: Appreciate it and thanks for calling in.
Operator: [Operator Instructions] We'll move to our next question.
Mark Smith: Good morning Jason, Mark Smith, private investor. I always liked these calls; they’re very insightful, I appreciated it. Love your management style. This is mostly a question I suppose for the new CFO. I see this happen time to time, but this lump in your accounts payable and accrued expenses $5.5 million. Is that normal lumpiness, I've asked this question before, is that normal lumpiness?
Jason Reid: I’m going to turn this over to John, generally speaking, in my point of view its timing issue and cash conservation but John take this call or take this question.
John Labate: The increase this quarter was mainly timing, payables did increase by $2.5 million, but net of the receivables increased just about $1 million. We at a lower right now that we think is sustainable, again certainly manageable and result of timing, which was since been modified by prior - post quarter payments.
Mark Smith: Okay, you're netting that increase in accounts payable against your accounts receivable. I suppose that's reasonable, because you have money that’s going to become against what you need to pay, okay. I will consider that when I see those lumps happening from now on. But that's all I have. Thanks a lot Jason; you're doing a great job. Hang in there with this price.
Jason Reid: Hey Mark, thanks for your call and your continued support, yeah, it’s difficult as we all know in this space, the investors and management of the companies alike, tough time in this industry.
Operator: And we will move to our next question.
Unidentified Analyst: Hey, Jason can you hear me; this is Bob [indiscernible].
Jason Reid: Hi, Bob, how are you today?
Unidentified Analyst: I'm doing good. Listen Jason, can you refresh my memory about, which isn't very good about how many - what's your mill capacity, what is the capacity you guys could mill down there?
Jason Reid: You're looking at about 1,500 tons per day mill capacity. We are quite away from that, we are 1,100 to 1,200. So we have some room, quite a bit of room to move and to grow. Like any underground mine its’ always feeding it and having the development in front of you from which to have many working phases to pull enough tons to feed it and so that's where we are. There is no bottleneck at the mill.
Unidentified Analyst: I thought you had addressed in the past, but I just couldn't remember the number, but 1,500 gives you a lot of growth for Switchback.
Jason Reid: No, Bob, I appreciate the question that's a great question, and it's also good to put that in perspective on the back of Clay Jones’ first question on Capex. Several years ago, we deployed a lot of our capital to increase that mill because we looked at time several years down the road and saw yeah, at some point that’s going to be a bottleneck and you know we on a 1,000, 1,100, 1,200 back then, and so we took the capital from cash flow, deployed and allocated it to increasing the mill capacity and I'm glad we did it because now we're at - we would have exceeded the maximum capacity at this point, but we did all that with cash flow back then and back then, we depleted our cash during those years as well or during those quarters specifically. Cash fluctuates as a function of what programs, projects we have going on.
Unidentified Analyst: Well, I'd like to make two comments here and close myself out; you don't have to respond them. Number one, you shouldn't feel bad at all about deploying capital on a timely basis to make the mine work going forward. You guys have done that and met your dividend obligation year-after-year with no compliance out of management that I can see and the other people in this space aren't paying dividends, aren't keeping up with development any better than you are and have lower grades by and large. The second thing I want to say is that while you guys are out looking at acquisitions and potential merger candidates, I would hope that you make a strong pitch to whoever you’re talking to that your unique method of paying dividends in time is something that none of these other companies have and you guys have gone through all that headache and that is sure selling point of your company in making proposed mergers with potentially large shareholders who could benefit greatly by that exposure. So I am more satisfied with the company and thank you.
Jason Reid: Bob, I appreciate your comments, especially on deploying capital. It’s really easy for people outside looking in to criticize, but it is difficult in this industry when you try to set a game plan and in the market - and then market, and specifically the prices is going - silver drop-off [indiscernible] and then you have to revise that game plan, which usually and in our case and most everybody’s case is now predicated on fewer people that you can hire. And you know the difficulties are compound that this is a tough industry, so I appreciate you acknowledging that, not often do we have calls that actually acknowledge that. Yeah, the dividend set us apart and if we can continue to do it, we will do it, but if we can’t, we can’t. I’ve had several shareholders and feedbacks on the dividend where people say, you should just stop, you should just stop and deploy that capital elsewhere. That is one perspective and I don’t necessarily disagree with them on that, but we are very focused on the dividend. This company was created to pay a dividend, that's why we raised in the production, so we could have a tight capital structure, so we could pay a dividend shoulder-to-shoulder with majors and we make that I think compelling argument in one of the last slides in our corporate presentation where we're comparing ourselves with the majors and we stand up quite nicely to junior because of it. The M&A strategy, we are taking a lot of tires, I just had the whole team, boots on the ground, we have been to Chile, New Mexico, Arizona, Nevada, we are looking and we’ve kicked a lot and lot of tires, and we’ve come down to that final box and we couldn’t check that box and not walk away. I don’t want to do something just do it, I don't want to add ounces to just add ounces and trade dollars, I want to find something that's accretive and this is the time to do it. Back when gold is hitting its high, I had to watch everybody doing their M&A, of course they overpaid by billing the dollars and what they were doing, but that’s typical when all the deals happen, those fundamentals are high. Now is the time, and we are looking and we have a lot of irons in the fire, and hopefully, we can get a few of them closed, but we will see. Dividend in time separate us and we are the only company that’s been able to achieve that, so I appreciate your comments on that. So Bob, thanks, and as far as I am concerned, call in next time as well.
Operator: We’ll move to our next question.
Unidentified Analyst: Jason?
Jason Reid: Yes, I can hear you. Who is this?
Unidentified Analyst: This is Dick Tilley [ph], stockholder. Thank you for taking my call. My question is this. Must Gold Resource Corporation pay extra money for police protection or security forces in order to safeguard the mine and its employees? Thank you so much.
Jason Reid: Okay, wait before you leave, what do you mean, extra money? What do you or let me presume, how we operate, I guess. Go ahead, what do you mean by extra money?
Unidentified Analyst: Is there a cost of doing business, the security of the mine and people.
Jason Reid: Okay. I presume all, maybe shouldn’t say that. In my opinion, all gold mine should have certain element of security. In Mexico, yes, we pay a security firm, a third-party security firm to safeguard our product, and this is a new firm. In the past, we have had several different firms and we had a couple of incidences where thieves took our product. We haven’t had any issues with this new firm and not kind of word of hope, not have any issues going forward. But you always have to watch out for that and that is the cost of doing business in a sense that, yeah, you have to hire security and we do have a very good security firm that services other large miners in Mexico and they are really good at what they do and again, not going - we haven’t had any more instances since we hired them.
Unidentified Analyst: Thank you so much, sir. Good luck.
Jason Reid: Thanks for your question.
Operator: And we will move to our next question.
Vijay Marolia: Jason, this is Vijay Marolia, Regal Point Capital. How are you?
Jason Reid: I’m good. Vijay, good to talk to you. How are you doing?
Vijay Marolia: Doing good man, can’t complain. Keep fighting the good side. I was just hoping, you could add a little bit of color on what we’re excited about which is what’s going on with the potential energy savings and the port opportunity?
Jason Reid: Okay. Yes, these have been - good question, Vijay, these have been on the top of our list for over a year now, the energy and the port facility. The energy is my second largest cost, second to manpower. And as you heard on the call, I protested two manpower reductions to lower our largest cost and argued, but maybe a little too thin, but we know now kind of where we need to be. So on the manpower, we got in front of that one. Now, I want to attack the energy. We’ve been working on this for over a year, well over a year. I want to hook to the Federal Power Grid and back of the envelope calculations as we see it, we could maybe cut our energy into half. Now that may be a little too optimistic, but let’s shoot for that and if we come in even half of that we will be doing well. But hooking to the Federal Power grid is where we're trying to get to. We're working with the Federal Power Commission. We have to bring a power line across numerous different [00:40:29] which are agrarian communities. So they are and have helped us with negotiating this line that’s going to across all these different groups of people’s lands. And we're working with the Federal Power Commission at this point to try to get this thing moving forward. We have deployed a little bit of capital toward this, because we are going to try to stage it out over time, but hopefully next year we're in the position to deploy enough capital to get this thing done. On the order of magnitude, at this point, it's looking like 4 million, maybe be 5 million to do this, but the return on capital could be less than a year. So the savings are out there, we just need to execute it. Whenever you're working with the government organization things move pretty slowly, especially in Mexico. So that's what we're up against, but we keep moving forward. The port facility could drastically shorten the trucking and hauling of our concentrates. Instead of a two day trip, it could be there in eight hours to a different port much closer. And we are doing everything we can to get this port effectively to reopen so to speak. It's guarded by the Military, so it's very secure and it just don’t have a lot of business, so they don't have a lot of ships to call and we're trying to connect all the dots, put all the pieces, puzzle pieces together to have this project executed. And if we can get that done, we hope to save on our trucking costs. So those are the two big ones we’ve been focused on in the last year and I will continue to focus on this year and if we can get one or both of them done, I expect our cost to go lower. So, yeah, those are the top of our list. Good question. Do you have anything else Vijay.
Vijay Marolia: [indiscernible]
Jason Reid: Yeah, I appreciate it. Thanks for your continued support. Let’s say it’s not much fun out here right now. It’d be nice if metal prices turn around and give all miners some breathing room, but unfortunately it just keeps going down. We keep having to adjust our business plan, so to speak, to deal with the prices, but it is what it is.
Vijay Marolia: Well, I’d say the best things come to those who wait and so we are all being patient and patience is a virtue, so we will see what happens.
Jason Reid: I appreciate it, thanks. Thanks for your questions.
Operator: [Operator Instructions] And we have no additional questions in the queue at this time.
Jason Reid: Perfect. Okay. Well, with that we will close this conference call out. Thank you for everybody who have called in. Thank you for everybody who is listening and we'll talk to you next quarter. Thank you.
Operator: That does conclude today’s conference. Thank you for your participation.